Operator: Good afternoon, and welcome to Fluor Corporation's First Quarter 2016 Conference Call. Today's call is being recorded. At this time, all participants are in a listen-only mode. The question-and-answer session will follow management's presentation. A replay of today's conference call will be available at approximately 8:30 PM Eastern Time today, accessible on the Fluor's website at www.fluor.com. The web replay will be available for 30 days. A telephone replay will also be available through 7:30 Eastern Time on May 11 at the following telephone number, 1888-203-1112, the passcode of 4196087 will be required. At this time, for opening remarks, I would like to turn the call over to Geoff Telfer, Senior Vice President of Investor Relations. Please go ahead, Mr. Telfer.
Geoff Telfer - Senior Vice President, Corporate Finance and Investor Relations: Thank you, Sharon, and welcome to Fluor's first quarter 2016 conference call. With us today are David Seaton, Fluor's Chairman and Chief Executive Officer, and Biggs Porter, Fluor's Chief Financial Officer. Our earnings announcement was released this afternoon after market close, and we have posted a slide presentation on our website, which we'll reference while making prepared remarks. But before getting started, I'd like to refer you to our Safe Harbor note regarding forward-looking statements, which is summarized on slide two. During today's call and slide presentation, we'll be making forward-looking statements which reflect our current analysis of the existing trends and information. However, there is an inherent risk that actual results could differ materially. You can find a discussion of our risk factors which could potentially contribute to such differences in the company's Form 10-Q, which was filed earlier today and our Form 10-K, which was filed on February 18. During today's call, we may also discuss certain non-GAAP financial measures. Reconciliations of these amounts with the comparable GAAP measures are reflected in our earnings release and posted in the Investor Relations section of our website at investor.fluor.com. Now, I'll turn the call over to David Seaton, Fluor's Chairman and CEO. David?
David Thomas Seaton - Chairman & Chief Executive Officer: Thanks, Geoff, and good afternoon and thank you for joining us today. On today's call we'll review our first quarter results and discuss our outlook for the remainder of 2016. Before I get started, I wanted to comment on the tragedy that occurred two weeks ago in Mexico. As you may have read, three ICA Fluor employees and 29 subcontractors were killed in an explosion at PMV petrochemical plant in the State of Veracruz, Mexico. ICA Fluor was performing a revamp project at the site when the explosion occurred. The client is currently conducting their investigation in conjunction with the authorities and engaging with third-party experts into the cause of the accident. At this stage, there is no indication that the event was related to our activities at the site. So if you think I'm a little somber today I'm. This is the worst accident in Fluor's history. This tragic event serves as a reminder to us all that we must hold our core value of safety at the center of all we do. In this very difficult time our hearts are with the families and the friends of those killed in the tragic event. Now moving to our first quarter results, I want to start by spending a few minutes sharing our perspective on the markets we serve. Global economic growth for the first quarter was weak, setting up another sub-par year. Many economists have lowered their growth expectations for 2016. Crude oil and metal prices remain relatively low, which continues to suppress the cash flows of some of our customers and is causing some of the projects to shift to the right. For our commodity influenced businesses, we're beginning to see clients reevaluate projects through studies and pre-feeds. Going forward, we do expect clients to continue to take a cautious, disciplined approach when they make their capital investment decisions. Low natural gas prices on the other hand continue to support investment in North American chemicals projects as well as gas fired power plants. In fact, we're actively working on the beginning stages or bidding four separate new ethylene crackers in the United States. The recently passed FAST, which is Fixing America's Surface Transportation Act, I'd like to know who comes up with these names, they are really inventive. It is supportive, however, of the new transportation infrastructure spend in the United States and we expect the governments to be supportive of these investments in the infrastructure market. We also see good opportunities for growth in our industrial government and our maintenance capital markets. Our focus on the integrated solutions and capital efficiencies continues to resonate with our customers and has positioned us well for projects as they move forward. Finally, most of you have seen our release from last month announcing our new reporting segments. We changed how we report our segments to better reflect how I and the rest of the management team view the diverse end-markets that we serve. Business line results will now be segmented by our commodity influenced businesses, Energy, Chemicals & Mining, our predominantly fixed-price businesses, Industrial, Infrastructure & Power, government, and our operating expense focus business, Maintenance, Modification & Asset Integrity. MMAI group also includes our recent acquisition of Stork. Now let's look at our first quarter results beginning on slide three. Net earnings attributable to Fluor for the first quarter were $104 million, or $0.74 per diluted share, excluding pre-tax expenses related primarily to the recent acquisition of Stork. Net earnings attributable to Fluor were $120 million, or $0.85 per share, compared with the $114 million, or $0.96 a year ago. Consolidated segment profit for the quarter was $241 million, compared to $276 million a year ago. Improvements in our Government and Industrial, Infrastructure & Power segments were offset by declines in other segments. Segment profit, margins were 5.5%, compared to 5.4% last quarter, and 6.1% a year ago. Revenue for the quarter was $4.4 billion, comparable to the results reported last quarter and a year ago. New awards for the quarter were $4.7 billion. Consolidated backlog at quarter end was $46 billion, up 12% from $41.2 billion a year ago. Of the $5 billion increase, $1.5 billion is a result of our acquisition of Stork that was completed in the first quarter. Turning to slide four, Energy, Chemicals & Mining booked $579 million in new awards, ending backlog was $26.8 billion, compared to $29.7 billion a year ago. Of this amount only $481 million is in – backlog is in Mining. Now we believe the Mining market will not significantly improve in the near future. First quarter new awards in Industrial, Infrastructure & Power were $1.4 billion and included the Loop 202 Freeway project in Arizona. Now looking ahead, we've been successful in winning the South Carolina Port Access road in Charleston, South Carolina, which will be a second quarter award and the Maryland Purple Line Project, which we expect to achieve financial close in the second half of this year. I'm particularly encouraged by our successful bid in South Carolina, as it's a great example of our ability to be competitive on smaller, but still critically important projects. I'm also pleased to report that the gas-fired power facility in Brunswick County, Virginia is essentially complete with no additional charges in the quarter. Turning to slide five, the Government segment had a tremendous quarter with new awards of $2.3 billion. This includes the Idaho Cleanup Project and multiyear extension of the Portsmouth project both in the DoE space. Ending backlog was $5.2 billion, up from $4.2 billion a year ago. The Maintenance, Modification & Asset Integrity segment posted new awards of $404 million and ending backlog was $3.7 billion. Biggs will go into details on our first quarter performance but before he does, I want to give you some color on our changes in guidance for 2016. We revised our range – our revised range takes into consideration the projects we're currently working on that we've seen stretch out over the last few months with Sasol and Pemex as examples. Additionally, the process to reach FID continues to take longer than anticipated. Of course, this leads to the question on how we see 2017 shaping up, and my response is that while we have a nice backlog today that will support earnings in 2016, and beyond, it's still too early to tell when and how our clients will proceed with their capital deployment plans. With that, I'll now turn the call over to Biggs to review some of the details of the operating performance and corporate financial metrics. Biggs?
Biggs C. Porter - Executive Vice President, Chief Financial Officer: Thanks, David, and good afternoon everyone. Please turn to slide six of the presentation. I'll start by providing some additional comments in our first quarter performance then move to the balance sheet. Revenue for the quarter was $4.4 billion, which compares to $4.5 billion a year ago. Revenue gains from Industrial, Infrastructure & Power and MMAI were offset by a decline in mining activity within the Energy, Chemicals and Mining segment. Operationally this quarter was aligned with our expectations. This quarter's earnings per diluted share of $0.74 included costs related to our acquisition of Stork and an unrelated legal settlement; excluding these expenses, earnings per diluted share were $0.85. I also want to point out that first quarter results include only one month of Stork operations. Storks' business is seasonal, with typically lower results in the first and fourth quarters. The tax rate for the quarter was higher than normal. There were a number of factors including some nondeductible expenses, but the biggest contributor was losses that we weren't able to benefit for U.S. tax purposes. For the remaining three quarters, we expect the tax rate will be 34% to 36%. Corporate G&A expense for the first quarter was $55 million, compared to $41 million a year ago. This increase is largely due to the Stork acquisition and the legal settlement I just mentioned. If for not those expenses which aggregated to $22 million, G&A would've been down year-over-year. With a near-term softness of book and burn in the Energy, Chemicals and Mining segment, we will continue to be diligent on taking costs out of our model. Shifting to the balance sheet, Fluor's cash plus current and non-current marketable securities totaled $2 billion, compared to $2.4 billion last quarter and $2.2 billion a year ago. During the quarter, we made our initial $350 million contribution to the COOEC Fluor Fabrication joint venture in China. The second payment of $140 million will be made in the third quarter. Quarterly cash flow from operating activities was $115 million, and we paid $30 million in dividends. Moving to slide seven, Fluor's consolidated backlog at quarter end was $46 billion. The percentage of fixed price contracts in our overall backlog was 24% at quarter end, and the mix by geography was 43% U.S., and 57% non-U.S. I will conclude my remarks by commenting on our guidance for 2016, which is on slide eight. Although new awards and backlog position us well for the long term, clients in our Energy, Chemicals and Mining segment continue to stretch out existing work and defer issuing final investment decisions. Sasol's recent announcement of extending project construction at its petrochemical facility in Louisiana is but one example. To go ahead and answer a frequent question in advance, there have been no significant cancellations and we do not anticipate any. The burn of backlog is low, as we've all observed. Some of this is due to clients like Sasol and Pemex, where projects are well underway but have been stretched out, or Kitimat, which are on a slow pace. But much of it is due to the fact that many of the awards in backlog are very large and actually burn more slowly, such as the Westinghouse nuclear projects, and long-term O&M contracts on recent infrastructure awards, and the multiyear government projects. Backlog burn is also naturally slower when backlog has grown, as oppose to when it contracts. Having said all that, the delays in the projects that stretch out have a near-term effect, this has resulted in a lower-than anticipated trajectory for full year revenue. Taking this into consideration, the company is reducing its 2016 guidance range from $3.50 to $4 per diluted share to $3.25 to $3.65 per diluted share. Our guidance for 2016, including the Stork transaction and integration costs, also assumes G&A expense in the range of $200 million to $220 million. Other expectations for 2016 include NuScale expenses of approximately $90 million, as we progress towards DCA submittal, which is targeted by the end of the year, and capital expenditures for the corporation of approximately $300 million. Under the new reporting segments, we anticipate near-term margins for the Energy, Chemicals and Mining group to be in the mid to upper 6% range, Industrial, Infrastructure & Power excluding NuScale to be in the 4.5% to 5.5% range, Maintenance, Modification & Asset Integrity to be around 5% to 6%, and government to be approximately 3%. With that, operator we're ready to take questions.
Operator: Thank you. And we'll take our first question from Steven Fisher with UBS.
Steven Michael Fisher - UBS Securities LLC: Thanks, good afternoon and condolences to those with ICA Fluor.
David Thomas Seaton - Chairman & Chief Executive Officer: Thanks, Steven.
Steven Michael Fisher - UBS Securities LLC: Wondering if you could just talk a little bit about how these four ethylene crackers will play out from a process perspective in terms of some of the timing on the FEED and EPC, and if there's any that you feel you particularly have stronger positioning on?
David Thomas Seaton - Chairman & Chief Executive Officer: Well, I think our success in the last round, I think, is a predicate to what I think we'll see this time, so I think our chances are really good. We're in a competitive FEED on one that comes to the final bid, I think the end of – the final decision is at the end of the year, but we finished the FEED and the proposal in the second quarter. There is, obviously, two more in the Gulf Coast that we're in the process of bidding for the FEED. So I think we're going to see some new awards this year in that next wave.
Steven Michael Fisher - UBS Securities LLC: Okay. And then, Biggs, you mentioned needing to be disciplined on costs in this environment, so what are you doing incrementally to take some more costs out? Where are you in your plans to move work offshore, and are there any other bigger picture actions you can take maybe to even go on the offensive here in this kind of weaker environment where you are the market leader?
Biggs C. Porter - Executive Vice President, Chief Financial Officer: Well, as far as taking costs out, we just continue to look across the board at every opportunity. Of course, we should continue that for all time, but you, obviously, do it – look a little bit harder when any of the markets are challenged that we're operating in, so we continue to look at taking out overhead costs, but also costs that would be directly affecting our ability to perform on contracts to ensure we're as efficient as we can be across the board. So it's pretty much across the board in terms of the looks that we take and the actions we're taking accordingly. I tried to be more aggressive. I think that we're just going to stay prudent in terms of all of our investment activity. We always look for areas where we can make investments and create great returns for shareholders, but I don't think that that philosophy here, that attitude, changes more or less in these circumstances. David if you want to add to that?
David Thomas Seaton - Chairman & Chief Executive Officer: Yeah. I just add one thing Biggs, you're absolutely right. I'd add that in 2014 before the slowdown, we took over $100 million out of overhead during that year for full run rate in 2015 and obviously 2016. So we're continuing to look at our model and the dispersed execution approach to see how we can leverage those resources around the globe. So I'm really pleased that we've been that diligent in kind of rightsizing the organization before we needed to. This business is kind of interesting when it slows and I think the industry is somewhat slow to react, and you are going to see I think some of our competitors probably have to do some drastic steps that we don't have to take, we've been very measured, very purposeful in how we have kind of reset the cost of doing business.
Steven Michael Fisher - UBS Securities LLC: Okay. Thanks a lot.
Operator: And we'll take our next question from Jamie Cook with Credit Suisse.
Jamie L. Cook - Credit Suisse Securities (USA) LLC (Broker): Hi. Good evening. I guess just a question on the new guidance. I know the guidance includes the $0.11 associated with the transaction costs with Stork. I just want to get a better understanding of what you think the earnings contribution is from Stork? So we can get a better understanding of how much of a deterioration is associated with the core business?
Biggs C. Porter - Executive Vice President, Chief Financial Officer: So back when we talked about – I'm sorry, Jamie, this is Biggs and good evening.
Jamie L. Cook - Credit Suisse Securities (USA) LLC (Broker): I know who you are Biggs.
Biggs C. Porter - Executive Vice President, Chief Financial Officer: My voice is a little scratchy.
David Thomas Seaton - Chairman & Chief Executive Officer: You should have heard him last week. We couldn't hear him last week.
Biggs C. Porter - Executive Vice President, Chief Financial Officer: I think in the last call I said that we thought the contribution would be mild this year because of it being a part year, but the integration transaction expenses being big offset and that's still the case. Stork really isn't factored net-net to have much effect on this year, but next year we certainly don't have the integration and transaction expenses. We expect for synergies, which we think are going to be significant over time to be kicking in for it to be accretive, probably in the range of mid-to-high-single digits from a percent accretion standpoint next year. But some of those are going to be within Stork and some of them will be outside because we think that we have the opportunity to create more revenue. And opportunity within Stork as opposed to it being part of Fluor, but correspondingly that they had EPC opportunities that were available to them, but which couldn't be fully fulfilled by them and now we'll be able to fulfill, as a result of them being a part of the or us being a part of their offering. So...
Jamie L. Cook - Credit Suisse Securities (USA) LLC (Broker): But Biggs, let we're all going to exclude the transaction costs, the one-time, the $0.11 because we don't care about that I guess when we looked at the deal and the assumed margins, I think I was calculating like $0.30 accretion this year, so your integration costs are going to offset that in total. So does that imply your core business is the decrease if we look on an apples-to-apples basis and add back the $0.11, it's $0.20 in your core business that's the way to look at it? And then my follow-up question, David, would be, the slowing of the Sasol or Pemex or whatever projects that are in energy, while it's a negative, I guess looking at the glass half full, would be assuming those are really good projects, and they are not going out of backlog? To what degree does that help your 2017 profits? So it's spread more evenly over two years versus the concern of a close event? And then I'll go back in queue. Sorry.
David Thomas Seaton - Chairman & Chief Executive Officer: Let me answer that one first, and then Biggs, you can answer the other one. It does put earnings in the outer years, those project is still going forward. But as you've seen most companies, they are looking at cash flow. So, yes, it does help in the outer years, but when the divisor is four years versus three years obviously, it's a lower number, just a math.
Jamie L. Cook - Credit Suisse Securities (USA) LLC (Broker): Well, no, I know it's a lower number, but not as big of a decline. You know what I mean is...?
David Thomas Seaton - Chairman & Chief Executive Officer: Yeah. I understand it. And I think that's a fair statement.
Jamie L. Cook - Credit Suisse Securities (USA) LLC (Broker): Okay. Because you still feel good about those projects, we don't need to take them out of backlog?
David Thomas Seaton - Chairman & Chief Executive Officer: No, no, no. It's just – that both of those programs – there's public announcements that they made about what they were doing and the fact that they were continuing. They were just dealing with cash flow issues and we're going to slow them down a little bit.
Jamie L. Cook - Credit Suisse Securities (USA) LLC (Broker): Okay. And then, Biggs just the core business is it – I mean, was my math and everyone else's totally off and is the core business is at the $0.20 hit to the 2016 EPS?
Biggs C. Porter - Executive Vice President, Chief Financial Officer: No, I think that you are a little high in terms of how you float Stork all the way through the bottom line. Stork did have published financials previously. So there are numbers out there for their historical performance. But there was $100 million roughly of EBITDA at a run rate basis last year and we talked about that in the release where we announced the acquisition. But there were depreciation expenses and there are some non-controlling interest and other elements to take into consideration. So if you just took that EBITDA number and floated through without any consideration of the other expenses, you probably ended up with too high an estimate. As to the rest of the business then, there is some year-over-year decline in our equipment business, which we talked about, and it was evident again this quarter, but otherwise, there is not a big year-over-year decline or anything else that you would have to be factoring in. So I think over time, we obviously expect Stork to be a big contributor, but you would have been high in that initial estimate.
Jamie L. Cook - Credit Suisse Securities (USA) LLC (Broker): Okay. Thanks I'll get back.
Biggs C. Porter - Executive Vice President, Chief Financial Officer: On integration expenses, to go ahead and certainly, you can think of this as well, in total, the $0.11 we had for the quarter was integration transaction costs, plus there was a legal charge in there. But we'll have a little bit more in integration expenses over the remainder of the year. Although, it certainly will be less than what we had here in the first quarter, so it's going to be a few million dollars more anyway.
Jamie L. Cook - Credit Suisse Securities (USA) LLC (Broker): Okay. Thanks. I'll get back in queue.
Operator: And we'll take our next question from Andrew Kaplowitz with Citi.
Andrew Kaplowitz - Citigroup Global Markets, Inc. (Broker): Hi. Good afternoon, guys.
David Thomas Seaton - Chairman & Chief Executive Officer: Hi, how are you?
Andrew Kaplowitz - Citigroup Global Markets, Inc. (Broker): Good. How are you doing, David? So can you talk about how we should think about – I guess I'll call it the new normal in Energy, Chemicals and Mining, new awards. If we look at the last couple of years, you averaged a little more than $3 billion in new awards per quarter. Then you did $2 billion last quarter, before doing $600 million this quarter. Obviously, we know it's a rough quarter for oil and gas sentiment, but how should we think about the average going forward? Do you have enough large projects in the pipeline where over the next year you can come close to maintaining backlog or should we put into our models closer to the last couple of quarters' average moving forward for a while?
David Thomas Seaton - Chairman & Chief Executive Officer: We've used this term many, many times and others have picked up on it, it is the word lumpy. There's a couple of really large projects in that space that we believe will be awarded this quarter – I'm sorry, this year. Just in the out quarters. So I don't think the $1 billion is the normal run rate going forward, but I'd hate to put a number on it given the volatility of decision-making. But there is still some very, very large projects that we believe will be – we'll take into backlog this year.
Andrew Kaplowitz - Citigroup Global Markets, Inc. (Broker): Okay. That's fine David. And I know that you don't want to talk about 2017 too much, but maybe we can talk about the puts and takes on EPS as where we sit here today, if you are talking about incremental EPS from Stork maybe that's still $0.20 or more, you've got maybe $0.15 of lower spend on the NuScale, you've got additional buybacks and maybe something from the new shipyard, those things could help offset lower oil and gas and earnings. Am I missing anything in sort of the puts and takes? And it's a pretty sizable tailwind to give you a shot, I guess, at growing earnings in 2017?
David Thomas Seaton - Chairman & Chief Executive Officer: Well, you know, all those things are in some form or fashion accurate. This isn't our first rodeo, so to speak. And when industry takes a deep breath like the oil and gas industry has, and they push things to the right, one of the unintended consequences of that is what could end up being a boom as we get into the out years. Because they still got to these developments. I've said this before, I mean, it's 10 years from an exploration well to production. And certain companies have to put every year something in the neighborhood of 200,000 barrels a day back into their reserve base just to stay flat. So spending will continue. It's not like they stop spending. In fact, in Chevron's call they talked about the Tengiz project continuing to go forward, which we're clearly working on that job. So there's upside there. But I think as we get into a little bit later into this year, we will see. I think there's still a significant production just in Texas alone, there are still based on financial hedges, so there's still people being paid $60 a barrel that will end as we get into the summer. So you're going to see, this is David seeing his crystal ball, you're going to see the glut of those products clear reasonably quickly to where I believe you'll see oil inch up to somewhere in the low $50s as we get into the first half of next year. I think most companies have gotten really comfortable with that $40 being the new norm, $50 being the new norm. And they will start their spending again. So I think, what I'm really pleased with is the fact that in the face of that the diversity of our company allowed us to have what was a really good new award quarter. And we see those markets continuing to grow. As I mentioned in the prepared remarks, I'm really pleased with that South Carolina award, because it proves that our new model can produce much more efficient and effective competitive bids. When you look at that market just alone, the infrastructure market, there's going to be a hell of a lot more $200 million jobs than $2 billion jobs. There's going to be those two, like the Purple Line project, but it shows that the diversity allows us to skate to where the puck is going to be, to steal from Gretzky. And I think we will continue to do that. There's lots of programs in the industrial space, there's very large pharmaceutical biotech projects that we're chasing. There's a lot more government work that we're chasing. There's power projects that we're chasing. So the opportunity slate is still pretty robust, even in oil and gas. And I think we're well-positioned to be much more competitive than we've been in the past, and clearly we're going to be contractor of choice.
Andrew Kaplowitz - Citigroup Global Markets, Inc. (Broker): David, that's helpful. Biggs, just a quick clarification, the new nuclear projects as they came in, they were at the profitability you expected? I know there was a NuScale headwind in the quarter year-over-year, but you had $300 million of new revenue, but only $2 million of more profits, so was that just the NuScale headwind in there that caused that?
Biggs C. Porter - Executive Vice President, Chief Financial Officer: Yeah, the nuclear margin rate is as we expected and no headwinds in that regard. Of course, yeah, they're completing one project that had reported a loss last year. So that's coming in at zero margin this year. But other than that, everything as expected and any real variance is driven by year-over-year on NuScale.
Andrew Kaplowitz - Citigroup Global Markets, Inc. (Broker): Thank you.
David Thomas Seaton - Chairman & Chief Executive Officer: And on the nukes, we've only been on there for three months, and in fact, in one case, we only took over the craft at the end of March. So there was zero – virtually zero margin associated with those craft. Now they are fully on board and in the next quarter, I think, will prove out to be a little bit better in terms of those two projects.
Andrew Kaplowitz - Citigroup Global Markets, Inc. (Broker): Thanks guys.
Operator: And we'll move to our next question from Tahira Afzal with KeyBanc.
Tahira Afzal - KeyBanc Capital Markets, Inc.: Hi folks.
David Thomas Seaton - Chairman & Chief Executive Officer: Hi, Tahira.
Tahira Afzal - KeyBanc Capital Markets, Inc.: So David, first question is, the Chinese fab yard, would you have bought it at the time you did, is it a bit of a drag on the utilization side, could you have bought something else in hindsight, or is it really helping you from a longer-term standpoint in remaining competitive?
David Thomas Seaton - Chairman & Chief Executive Officer: No, I'd have still made the decision, it's going to be a great asset for us, currently and longer-term. And looking at the opportunity slate, the prospect list that we've got today, there's projects on there today that weren't on there before because we have access to that sort of fabrication capability. So I think it was a great decision. I think the earnings are pushed out, but they are active right now. There is two projects in that yard right now for CNOOC, so it's an active yard. Yeah, we'd like to have more tonnage in there and there will be, but clearly it's opened up an opportunity slate to us that didn't exist before.
Tahira Afzal - KeyBanc Capital Markets, Inc.: Got it, David. And David there's some pretty large, I think like $15 billion type of petrochem complex that is now being proposed in China. Does this yard help you within China as well?
David Thomas Seaton - Chairman & Chief Executive Officer: Yeah, it can. It absolutely can. The difference is that labor is relatively cheap in China and they like to stick build things. But yes, there's opportunities for us in the non-offshore business in China.
Tahira Afzal - KeyBanc Capital Markets, Inc.: Got it. And last question is, as you talk to your clients, is it more the volatility at this point, given costs across the whole lifecycle of oil and gas projects have been brought down so much, is it the volatility that's hurting the timing and release of projects? So if oil was to stay, let's say, between $45 to $50 or something over the next year, there's more of a chance the projects will be released, or is it just the level still?
David Thomas Seaton - Chairman & Chief Executive Officer: It's kind of all of the above. The customers that I talk to, it's cash flow, and dealing with cash flow, as it related to what their plans were. So there is that deep breath taking place in prioritization of projects, that's point number one. Point number two, they were already upset at the amount these projects were costing, and hence why we spent the time and effort to kind of retool the way we've done things and become more competitive, because capital efficiency is the term that we're living by right now, which is what our customers are looking for. And then, I think that the oil price clearly has the impact in terms of what their appetite is going to be, but I think it's just the timing element in most cases for a lot of these big programs. I mean, if you think about it, Biggs in his prepared remarks said that we don't have any expectation of cancellations. We also believe there are going to be significant projects go to FID this year and be awarded to us this year. So I think it's a little bit of volatility, but I think it's also some really thoughtful looks at their programs and projects to make sure they've got the best price for these programs and projects.
Tahira Afzal - KeyBanc Capital Markets, Inc.: Got it. David, so if you look at completions are you seeing some pretty large projects complete this year or is the stretch helping you in terms of visibility over longer-term? In other words, are you really dependent more so next year on large oil and gas projects then you were for this year?
David Thomas Seaton - Chairman & Chief Executive Officer: No, we really don't have any of the large ones completing this year. When you think – in oil and gas when you think about mining, most of those were complete. And we just don't see a whole lot of expenditure. There's the onesies and twosies that will come in, in that marketplace. But no, I think the explanation that Biggs gave in the prepared remarks, I think kind of speaks to the fact that these programs and projects are bigger, they are longer in schedule and therefore, they earned over a longer period of time. So when I think of backlog, I think we've got a really solid base of work that's going to burn little bit slower than we've seen in past history.
Tahira Afzal - KeyBanc Capital Markets, Inc.: Thanks a lot, David.
David Thomas Seaton - Chairman & Chief Executive Officer: Thank you.
Operator: And we'll take our next question from Chad Dillard with Deutsche Bank.
Chad Dillard - Deutsche Bank Securities, Inc.: Hi. So you've won a pretty decent amount of infrastructure work so far. So I'd be just curious to hear about what you're seeing going forward. And do you think you have enough capacity to absorb the additional infrastructure work, and do you think you will be able to pull other underutilized individuals from the rest of the area to help them out?
David Thomas Seaton - Chairman & Chief Executive Officer: Absolutely. I don't think we've got any issues with capacity, frankly, in any of the markets that we serve. There are pieces that we want to improve and skill sets that we need to go get. But when you look at – we just finished and actually I participated in the ribbon cutting of the Denver light rail project last week or two weeks ago, and many of those people are headed to the Purple Line in Maryland. So we feel pretty good about our place in the infrastructure market. And, frankly speaking, we see that as one of the growth areas. As you mentioned, we've been very successful this year. But I'd point you to last year where we were very unsuccessful, by and large, because of some predatory pricing by the competition. So not only do we see good opportunity, but we also have good solid projects in terms of backlog margin, as we burn that and as we execute. So I'm pretty bullish on the infrastructure market. And as I've said in the previous question in the prepared remarks, the fact that we can be competitive in an open procurement on a $200 million project, I think, bodes well for that group.
Chad Dillard - Deutsche Bank Securities, Inc.: Great. And then with your new guidance, so at the mid-point, is what you have in the backlog currently enough to get you there or do you need to win more work?
David Thomas Seaton - Chairman & Chief Executive Officer: We always need to win more work. I mean, I'm not going to get into what percentage of backlog is there. But we always need to book – we always need to win new work for book and burn to hit any of the numbers, any of the years, any of the quarters. And there is nobody in the market space any different.
Biggs C. Porter - Executive Vice President, Chief Financial Officer: Yeah. But we do try to assess the range of outcomes in that regard when we set the range.
David Thomas Seaton - Chairman & Chief Executive Officer: Correct.
Chad Dillard - Deutsche Bank Securities, Inc.: Got it. Thanks. I'll pass it along.
Operator: And we'll move to our next question from Andy Wittmann with Robert W. Baird.
Andrew John Wittmann - Robert W. Baird & Co., Inc. (Broker): Hi. Thanks for taking my question. The Portsmouth award was a large award. I was just curious over how many years that award is expected to burn?
David Thomas Seaton - Chairman & Chief Executive Officer: Well, Portsmouth was not the big one. The big one was Idaho. Portsmouth is a 30-month extension. Idaho is a three-year contract with two extension – potential extension years. And we wouldn't have booked the extension years.
Andrew John Wittmann - Robert W. Baird & Co., Inc. (Broker): Okay. So you just in the three years and then it's what – plus one, plus one?
David Thomas Seaton - Chairman & Chief Executive Officer: Correct.
Andrew John Wittmann - Robert W. Baird & Co., Inc. (Broker): Yeah. Okay. And then can you give us an update on your thoughts around the timing and likelihood of booking TCO into your energy backlog?
David Thomas Seaton - Chairman & Chief Executive Officer: Well, I mean, that's one of the big ones that we anticipate being going to FID this year. As I said, that's the position that Chevron expressed in their call. So we're hopeful.
Andrew John Wittmann - Robert W. Baird & Co., Inc. (Broker): Got it. Okay. And can you just – was there an update that you could give us on Lake Charles? I know LNG. It sounded like that one got pushed into 2017. Are you still actively tracking that one and do you have any thoughts on that as a longer term booking opportunity?
David Thomas Seaton - Chairman & Chief Executive Officer: I think it's going to be really lumpy in LNG in this marketplace. We're obviously very interested and we will continue to pursue those projects, but we're not very hopeful to see anything go to FID in this year or next year.
Andrew John Wittmann - Robert W. Baird & Co., Inc. (Broker): Okay. That's all I had. Thank you.
David Thomas Seaton - Chairman & Chief Executive Officer: Thank you.
Operator: And we'll take our next question from Jeff Volshteyn with JPMorgan.
Jeffrey Y. Volshteyn - JPMorgan Securities LLC: Thanks for taking my questions. I wanted to focus on the Industrial and Infrastructure segment for a second. So if you look in that smaller infrastructure projects, does it change the way you bid for these projects, does it change your risk profile and eventually what does it mean for margins?
David Thomas Seaton - Chairman & Chief Executive Officer: No, our approach to bidding projects and how we look at risk has not changed and will not change in the market condition – even in the market conditions we find ourselves in. So we're going to be very, very diligent in terms of that. So I think the kind of margin that we're seeing on some of the bigger projects are going to continue to see in the smaller projects. So really no change at all in terms of how we bid or aggressiveness therefore.
Jeffrey Y. Volshteyn - JPMorgan Securities LLC: Okay. And sort of related now, you seemed hopeful about some of the benefits from FAST Act coming through. In a, let's say, an optimistic scenario, how do you see that playing out and what would be the timeline if it doesn't go through?
David Thomas Seaton - Chairman & Chief Executive Officer: Well, I think there's two pieces to it, right. And I think – well, actually three pieces. The first piece is, I think it gives the states the confidence – I'm talking about just specifically U.S., it gives the states confidence to push some of these things through that there will be some federal funding associated with what they've got to do. Every state that we really focus on has significant legislation on – in the works, I'd say that support a very large amount of projects to come to fruition. The other piece is going to be some of the shovel ready projects and fixing potholes to everything else and we're not really going to focus on that. But every one of these programs that the states are looking at, have significant bridgework, have significant toll road opportunities, which the public/private partnership which is the last piece are going to have to play a role. Now, one of the things that some of the states need to do is they need to make it legal to do public/private partnerships for infrastructure programs. Not every state has that kind of law on the books that allows it. But I think that we're finally at a point where the deterioration of the infrastructure in United States is to a point where we've got to do something. This Port Access project is just the first piece of the Charleston port expansion, so winning this one puts us in a good position to get the next one. But there's lots and lots of programs that we're going to have access to, and I'm really pretty bullish on that market. But again, I'm not sure it's going to be this year that we're going to see significantly new awards, because these projects take a long time to put together. And I'll point to the Eagle P3 project in Denver. That project started in discussion in 2003. And we just opened it. So, there's a long tail to these things, but they've got a good earnings stream and they are over a long period of time. When you look at the Eagle P3, we got a 28-year maintenance contract that started when we opened it last week. So, again, it goes to another question that was asked, when you look at the infrastructure, builds a good base over the longer-term that we can use to grow from.
Jeffrey Y. Volshteyn - JPMorgan Securities LLC: Okay. That's very helpful. And then just kind of wrapping up the questions on the segment, Biggs is there a way that you can help us think through the backlog through of a new awards and backlog burn in the segment now that the nuclear projects are in there as well?
Biggs C. Porter - Executive Vice President, Chief Financial Officer: Well, I know with respect to nuclear projects themselves, that one is a little simpler and more straightforward than normal because we hit the ground beside the fact that it took us a month or so to get some employees up other than that, those projects kind hit the ground running as they are already underway. So, it's a $5 billion award over roughly five years 20% of that burning each year. So, it's just a rough terms of that's how you look at the burn within the Industrial, Infrastructure & Power segment being affected by those awards. In that case it's interesting because it is instead book and burn, but it still brings the average burn rate down because it's a five-year project. Other than that, I think that there's no other real anomalies to point out. It's an interesting question, that's one thing that I don't know that we recast for everybody was the historical backlog numbers to – so they can see what historical book and burn would be, so we may go back and look at that and see if there's a way to help you on it.
Jeffrey Y. Volshteyn - JPMorgan Securities LLC: Okay. That's helpful. Last just housekeeping question, and the $0.11 adjustment you said there's also legal charge, what is that legal charge within the $0.11?
David Thomas Seaton - Chairman & Chief Executive Officer: It's from an issue that is 40 years old.
Jeffrey Y. Volshteyn - JPMorgan Securities LLC: No, I mean like what is the size is that a penny or is it more sizable?
David Thomas Seaton - Chairman & Chief Executive Officer: Of the $22 million in total expense about that we pointed out is being associated with Stork and legal expenses. The Stork number is let's say $15.5 million, $16 million, expect that to grow to roughly $20 million by the end of the year, and then the legal expense that we don't expect to repeat was around $6 million.
Jeffrey Y. Volshteyn - JPMorgan Securities LLC: Got it. Thank you very much.
Operator: We'll take our next question from John Rogers with D.A. Davidson.
John Bergstrom Rogers - D. A. Davidson & Co.: Hi, good afternoon.
David Thomas Seaton - Chairman & Chief Executive Officer: Hi, John.
David Thomas Seaton - Chairman & Chief Executive Officer: David, I just want to follow-up for one second on the comments about some of the civil work in $200 million projects or fair size projects, but they are small for Fluor.
David Thomas Seaton - Chairman & Chief Executive Officer: No, They're not.
John Bergstrom Rogers - D. A. Davidson & Co.: Well, but how big an opportunity is that for you and do you have to add capabilities to do that or do you have the people in the organization to shift that around and operate efficiently?
David Thomas Seaton - Chairman & Chief Executive Officer: You know a lot of the resources are fungible within the company, and we have the ability to move people around to different projects. So I don't think from a leadership perspective, we really have an issue. We're always going to bring new people in with the skills that we need. When you look at what's in front of us, obviously light rail is going to be important. So we're going to need rail expertise. As I mentioned, there's going to be a lot of bridge work so we're going to need some bridge expertise. So I feel pretty good in being able to bring those folks on as necessary, and we'll clearly add – be additive to that. But I don't see a capacity issue. And we have added – when you think about the resources from the two nukes and Stork, we're over 60,000 employees now. And I still believe we're the employer of choice, given our ability to retain people. So I think that we can move – we're going to reallocate resources around the globe. I think our dispersed model is working, and showing that we don't need to hire and fire like the normal cycles that have dictated in the past. I point to Houston as an example. It's been as high as, at least in the last little while, as high as 4,800 people and it's around 2,800 people now. And it has been for 2.5 years, three years. And we don't expect it to drop much more than that. So again, some of the things we've done to perfect the dispersed execution model, I think gives us a lot more stability in the – across the portfolio. But it also shows that when we need to turn the crank, we can bring in the people we need almost regardless of how big we need to be.
John Bergstrom Rogers - D. A. Davidson & Co.: And if I could just follow-up – and I appreciate your crystal ball on oil prices, I hope you're right. But...
David Thomas Seaton - Chairman & Chief Executive Officer: So do I.
John Bergstrom Rogers - D. A. Davidson & Co.: But even at that level, I mean, we're not – we're still well below the peaks we've seen a couple of times before. And do you have to reposition Fluor or think about other markets to keep the growth going so that you are even more successful with the next cycle?
David Thomas Seaton - Chairman & Chief Executive Officer: No, I don't think so. And I've said this in previous discussions with some of you. I lived in Saudi Arabia in the 1990s and I remember 1997 oil was $17 a barrel, up from $11. And even though oil is in the places where it's more difficult to get to than maybe then, they were still – Saudi Aramco was still spending $30 billion a year, right. So they are still going to spend at $40 and $50 and $60 and they don't need to get back in most cases to the peak for them to be efficient and profitable. So I don't think we need to retool any more than we've already retooled, because I think the things that we've done to become more competitive and satisfy that capital efficiency need by our customers puts us in a position to be extremely robust and profitable as we go into the next wave.
John Bergstrom Rogers - D. A. Davidson & Co.: Okay. Thank you. Appreciate the comments.
Operator: And we'll take our next question from Chase Jacobson with William Blair.
Chase A. Jacobson - William Blair & Co. LLC: Hi. Thanks for taking my question. David, I was hoping you could maybe just talk a little bit about Stork on the revenue side, you talked about incremental opportunities. I know it's only been two months since the acquisition closed, but are you seeing any new opportunities kind of outside of the core Stork business yet or any color on that?
David Thomas Seaton - Chairman & Chief Executive Officer: Yeah, I mean, it's not a high revenue type company. I mean, it's basically service revenue, people. So you're not going to see a huge bump in revenue, but I think you will see some good bumps in profitability. The short answer is absolutely, we're already seeing opportunities that arise that maybe we didn't have access to before. I think that the fact that Stork is owned by Fluor now gives customers confidence that they are there for the longer term. There might have been some question before in terms of their viability. So we're seeing great response from the customers in terms of their interest in hiring Stork, and we're in some markets where Fluor physically wasn't present that helps Fluor in those geographic regions. There's lots of headroom I believe in the U.S. Gulf Coast; when you look at the installed capital base in the Gulf Coast, it's a huge number of facilities and assets that need to be managed and need maintenance and modification, shutdown, turnarounds, those kinds of things that make Stork very attractive in terms of their delivery model. So I think that we just kind of scratch the surface. And I think there's great growth opportunity for that segment of the business.
Biggs C. Porter - Executive Vice President, Chief Financial Officer: And just anecdotally, as soon as the transaction was announced, Stork management had incoming phone calls from their customers saying, great, now that you're going to be a part of Fluor, we'd like you to propose on doing this or increasing your scope for that. So clearly, there's benefits associated with the two companies being together.
Chase A. Jacobson - William Blair & Co. LLC: Okay. And then, kind of a bigger picture question, David, one of the oil majors earlier this week was talking about bringing more of their early engineering in-house. And I think this has been going on for a while, but they just started talking about it publicly. And I don't expect that this would impact the size of your market opportunity, but are there longer term or bigger picture implications from this if other companies start doing more of it? Is it something that affects competition later on in the project lifecycle, does it affect your visibility? I don't know if this is a trend you're watching but thought I'd ask about it.
David Thomas Seaton - Chairman & Chief Executive Officer: That's a good question. We've seen this before, and we certainly see it now. I would argue that it's a huge mistake because typically those people don't do the types of services that we do. We've got real examples where that is happened in terms of FEED projects in oil and gas in previous cycles and not that long ago where they had people available, so they said well let's let them do the FEED and then they came to us to actually redo the FEED because the answer that they got was too expensive and not the right schedule. So they probably don't like to hear me say that, but we're really good at those kinds of things and they are really good at producing product. And we're better positioned, our industry is better positioned to do those kinds of things. But they've got pressures that they've got to deal with in terms of employment. Some cases they can ebb and flow like a company like ours can. And we understand that. And we will be there to help them when they need it.
Chase A. Jacobson - William Blair & Co. LLC: Great. Thank you.
Biggs C. Porter - Executive Vice President, Chief Financial Officer: Thank you.
Operator: And we'll take our final question from Michael Dudas with Sterne Agee.
Michael S. Dudas - Sterne Agee CRT: Good evening, guys. Biggs just clarification, you mentioned $300 million in capital and $140 million in the payment to the Chinese joint venture, is that correct?
Biggs C. Porter - Executive Vice President, Chief Financial Officer: The $140 million is scheduled for later in the year. Third quarter.
Michael S. Dudas - Sterne Agee CRT: Okay.
Biggs C. Porter - Executive Vice President, Chief Financial Officer: Okay. Looks like third quarter and it will be recorded as an investment in a joint venture as opposed to a capital expenditure. Other than that, there is no other planned capital other than I mentioned the $300 million roughly of CapEx that we expect in a more normal course over the course of the year. (59:22) side, but that's the only other thing that we're considering at this point.
Michael S. Dudas - Sterne Agee CRT: And is there any timing or issues on cash conversion or how cash is going to flow on working capital, given the change in guidance as we look to 2016?
Biggs C. Porter - Executive Vice President, Chief Financial Officer: No.
Michael S. Dudas - Sterne Agee CRT: Anything we should watch for?
Biggs C. Porter - Executive Vice President, Chief Financial Officer: I mean, it's always going to be timing events, but I expect the relationship between working capital and earnings and therefore cash flow and earnings to be pretty consistent with what it has been in the past, absent little movements of time or something comes in before or right after quarter end.
David Thomas Seaton - Chairman & Chief Executive Officer: Mike, go ahead, how you feel about your draft choices?
Michael S. Dudas - Sterne Agee CRT: We can talk about that off-line. You got a steal in the second round with the kid from Notre Dame without question.
David Thomas Seaton - Chairman & Chief Executive Officer: Let's all be hopeful.
Michael S. Dudas - Sterne Agee CRT: David, what was that legal issue from 40 years ago that we're now just finally getting to?
David Thomas Seaton - Chairman & Chief Executive Officer: Well, we're not going to really talk about it. But it's the kind of thing that all companies are dealing with, and it's kind of a one-off thing.
Michael S. Dudas - Sterne Agee CRT: No, I understand. Thanks gentlemen.
David Thomas Seaton - Chairman & Chief Executive Officer: Thank you.
Biggs C. Porter - Executive Vice President, Chief Financial Officer: Thank you, Michael.
Operator: And that is all the time we have for questions today. I'll turn the call back to David Seaton for additional or closing remarks.
David Thomas Seaton - Chairman & Chief Executive Officer: Thank you, operator, and thanks to all of you for participating today. As I said in the opening remarks and certainly in the Q&A, we continue to see that low commodity prices are driving customers to extend projects and delay FID decisions based on cash flow. This, I think, coupled with a little bit slower pace associated with some of the larger projects we've won over the past couple of years. In the long-term O&M contracts, we've recently put into place in infrastructure and others, have a slower burn and – but provide, I think a more stable revenue trajectory. The revised 2016 guidance range reflects I think this reality. While our capital structure is sound and our cash flow generation remains robust, we remain disciplined in how we use our cash and will continue to do so as we look at lowering our cost of business and internal costs associated with it. Finally, we continue to invest for the long-term as you've seen with our recent investments in the fab yard and certainly Stork, that positions our company to not only take care of capture market share in the traditional markets, but it also allows us to show growth in some of the longer term aspects of our business. With that, we greatly appreciate your interest in Fluor and your confidence in our company. Thank you and have a good evening.
Operator: That does conclude today's conference. We thank you for your participation.